Matthew Frankel: Thank you, operator. Good afternoon, and thank you for joining our conference call today. I'm here with Dan Bodner, Verint's CEO; Grant Highlander, Verint's CFO; and Alan Roden, Verint's Chief Corporate Development Officer.  Before getting started, I'd like to mention that accompanying our call today the slide presentation. If you would like to view these slides in real-time during the call, please visit the IR section of our Web site at verint.com, click on the Investor Relations tab and click on the webcast link and select today's conference call.  I'd also like to draw your attention to the fact that certain matters discussed on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other provisions of the federal securities laws. These forward-looking statements are based on management's current expectations and are not guarantees of future performance. Actual results could differ materially from those expressed in or implied by these forward-looking statements. The forward-looking statements are made as the date of this call, and as except as required by law, Verint assumes no obligation to update or revise them. Investors are cautioned not to place undue reliance on these forward-looking statements. For a more detailed discussion of how these and other risks and uncertainties could cause Verint's actual results to differ materially from those indicated in these forward-looking statements, please see our Form 10-K for the fiscal year ended January 31, 2023, our Form 10-Q for the quarter ended July 31, 2023, when filed, and other filings we make with the SEC. The financial measures discussed today include non-GAAP measures as we believe investors focus on those measures in comparing results between periods and among our peer companies. Please see today's slide presentation in our earnings release in the Investor Relations section of our Web site at verint.com for a reconciliation of non-GAAP financial measures to GAAP measures. Non-GAAP financial information should not be considered in isolation from, as a substitute for or superior to GAAP financial information, but is included because management believes it provides meaningful supplemental information regarding our operating results when assessing our business and is useful to investors for informational and comparative purposes. The non-GAAP financial measures the company uses have limitations and may differ from those used by other companies.  Now I'd like to turn the call over to Dan. Dan?
Dan Bodner: Thank you, Matt. Today, I will start with a review of our Q2 and H1 key metrics, including bookings and revenue dynamics. Then I will review the latest innovation in our CX automation platform and our AI-powered specialized bots. Finally, I will provide a midyear update on our expectations for the second half of the year. In Q2, we delivered solid performance across key SaaS metrics including SaaS new bookings, renewals and SaaS ARR. We believe our fast momentum reflects our differentiated CX automation platform and the growing customer interest in our AI capabilities. Let me start with Q2 and H1 bookings and deal activity. In Q2, New SaaS ACV bookings came in at $26.5 million, up strongly from Q1 and consistent with our average quarterly level throughout last year. As we discussed on our prior call, in Q1, we saw elongated sales cycle due to the macroeconomic environment and approximately $11 million ACV of deals shifted to the right out of Q1 relative to our expectations. We are pleased to report that this $11 million of Q1 deals were subsequently all booked in Q2. During our last call, we also shared our expectations of more than $60 million of new SaaS ACV bookings for the first half. Our actual results came in at $42 million. Elongated sales cycles persisted in Q2 leading to over $8 million ACV of deals shifting to the right and out of Q2. Based on current forecast, we expect the majority of which to be booked in Q3. Given our experience in the first half of bookings shifting to the right in both Q1 and Q2, we're assuming economic conditions will remain the same in Q3 and Q4, resulting in approximately $10 million of bookings shifting from H2 into next year. For the year, we now see $102 million of new SaaS ACV bookings compared to our prior expectations of approximately $112 million. Grant will discuss later the expected progression of our bookings throughout the year. Now let's take a closer look at our Q2 deal activity and recent market trends. In Q2, we continue to have significant wins across existing and new logos. With respect to existing customers, we received more than 20 orders in excess of $1 million TCV as large enterprises across the globe continued to expand and adapt more applications from our platform. These orders included a $20 million TCV order from a leading financial services company in the US, a $6 million TCV order from a leading telecom company in Europe and a $6 million TCV order from one of the largest banks in the Asia Pacific region. With respect to new logos, in Q2, we again added more than 100 new logos, including large brands such as Samsung and Philip Morris. New logos customers typically start with small orders and our objective is to have them expand in our cloud platform over time. Another customer trend that is important to note is strong interest in our AI capabilities. I'm pleased to report that the majority of the new SaaS ACV booked in Q2 included one or more Verint specialized bots. We believe the market is in the early stage of the AI adoption cycle and Verint is well positioned with Verint Da Vinci AI at the core of our platform. In summary, in H1, we saw elevated sales cycles which impacted the timing of our bookings. At the same time, we saw positive trends, including increased interest in various specialized bots resulting in pipeline growth, strong renewal rates consistent with the prior year, more than 100 new logos and the average term length of new orders remaining close to two and half years. Our solid Q2 new SaaS ACV bookings combined with strong SaaS renewal rates drove SaaS ARR growth of 17% in Q2 and on a year-over-year basis, following strong SaaS ARR growth in the first quarter. We believe SaaS ARR is a very useful operating metric for management as it normalizes all SaaS contracts to reflect the consistent and annualized ratable review that is closely aligned with the SaaS cash flow generation. As a reminder, from an accounting perspective, our bundled SaaS contracts are recognized ratably while our unbundled SaaS contracts are recognized largely upfront under ASC 606 accounting standards. This difference is addressed by the SaaS ARR metric. Going forward, we intend to report SaaS ARR on a quarterly basis to help investors better understand our SaaS growth trends. Turning to platform innovation. During Q2, we held our Engage customer conference in which we showcased our latest AI innovation. Brands are looking to leverage AI to increase CX automation so they can achieve their strategic objectives of elevating customer experience and reducing labor costs. Verint open platform is designed with CX automation at the center. In Q2, we unveiled many new bots as part of the large team of specialized bots currently available in our platform. These bots are designed to augment the human workforce and deliver significant customer ROI. Customer reaction has been extremely positive. And as I mentioned earlier, the majority of the new SaaS ACV we booked in Q2 included one or more bots. With regards to pricing of bots, it's important to note that customer level of consumption is related to the volume of data processed by the bot and type of bot and not just to the size of the customer's human workforce. We believe bot consumption in our platform will increase over time given the cost of deploying the Verint bots is much lower than the cost of hiring additional people. Let's take a look at the customer ROI delivered by some of our bots. As you can see from the slide, each bot is designed to perform a single task and is focused on helping a specific human role. Customers can deploy a team of bots from the Verint platform to assist roles across all enterprise customer engagement functions. For example, a financial services company with 2,000 customer engagement employees and with an average call handle time of 5 minutes can save millions of dollars annually by deploying the team of Verint bots. In this example, the customer is deploying three bots, the wrap up bots to assist the agents with automating the after call work and potentially reducing their work by 60 seconds per call, the containment bot to significantly increase the agent capacity by having the bot respond to 30% of consumers' questions and the compliance bot to assist customer service management to automate the compliance monitoring program to significantly reduce compliance errors and avoid signs. The customer can deploy additional bots from the Verint platform for automating different tasks and to generate even greater ROI. In summary, we believe that brands’ investment in bots is more cost effective than increasing the size of the human workforce. This dynamic should drive increased consumption from our platform and increase our TAM over time. Next, I would like to discuss the trends that we see for the second half of the year. First, our perpetual to SaaS transition is progressing as planned, and we are on track to achieve 88% of our software revenue to come from recurring sources for the year. As a reminder, most of our remaining perpetual revenue comes from the financial services company with a preference for on-premise deployments, and we expect them to remain on-premises for the foreseeable future. Therefore, the revenue headwinds that we experienced from the potential transition over the last couple of years and during the current year are expected to be behind us next year. Second, regarding SaaS revenue growth, we had 16% growth in the first half and we expect growth in the second half to improve slightly, resulting in full year growth of 18% to 20% or approximately $530 million of SaaS revenue at the midpoint. Supporting our expectations for H2 SaaS revenue growth is a combination of new bookings and a significant amount of renewals scheduled in Q4 which Grant will discuss later. Turning to our outlook for total revenue, margins, adjusted EBITDA and diluted EPS. For revenue, we are adjusting our annual outlook to $910 million due to the macroeconomic environment. For margin, we now expect faster growth and operating margin expansion and are pleased to be in a position to maintain our earnings outlook. For the full year, we expect $250 million of adjusted EBITDA and $2.65 of diluted EPS, reflecting mid single digit growth at the midpoint of our outlook. In summary, Verint open platform is at the center of CX automation, delivering AI power specialized bots to augment the workforce. We believe our bot consumption model is very attractive to customers. In Q2, solid new SaaS ACV bookings, combined with strong renewal rates, drove 17% growth in SaaS ARR. We now expect the current macroeconomic environment to persist in the second half, resulting in approximately $10 million of new SaaS ACV bookings shifting into next year. We're adjusting our revenue guidance and maintaining our earnings guidance driven by ongoing improvement in our gross margin. And our strong margins and cash flow generation provide us flexibility and we intend to continue executing on our previously announced stock buyback program.  Now let me turn the call over to Grant to discuss our financials in more detail. Grant?
Grant Highlander: Thanks, Dan. Good afternoon, everyone. Our discussion today will include non-GAAP financial measures. A reconciliation between our GAAP and non-GAAP financial measures is available, as Matt mentioned, in our earnings release and in the IR section of our Web site. Differences between our GAAP and non-GAAP financial measures include adjustments related to acquisitions, including fair value revenue adjustments, amortization of acquisition related intangibles, certain other acquisition-related expenses, stock based compensation expenses, separation related expenses, accelerated lease costs, IT facilities and infrastructure realignment as well as certain other items that can vary significantly in amount and frequency from period to period. Starting with our Q2 P&L metrics. Revenue came in at $210 million. Non-GAAP gross margins expanded to 70%, up more than 70 basis points year-over-year and non-GAAP diluted EPS came in at $0.48. Turning to our SaaS metrics. New SaaS ACV bookings came in solid at $26.5 million, up strongly from Q1. The percentage of our software revenue that is recurring increased to 86% compared to 84% a year ago in the same period and SaaS ARR came in strong with a 17% increase year-over-year. Earlier this year, we introduced SaaS annual recurring revenue or SaaS ARR. SaaS ARR is an operating metric that represents the annualized quarterly run rate value of active or signed SaaS contracts as of the end of a period. Management uses SaaS ARR to understand the annual recurring value of customer contracts at the end of a reporting period and to monitor the growth of our recurring business as we shift to SaaS. One of the benefits of SaaS ARR is that it normalizes all SaaS contracts to reflect a consistent and annualized ratable view despite the different accounting treatments for unbundled SaaS which is recognized upfront under ASC 606 and for bundled SaaS, which is recognized ratably over the term of the contracts. The reason this is important is that our mix of unbundled SaaS and bundled SaaS bookings can vary quarter-to-quarter and impact year-over-year growth trends in SaaS revenue. This is exactly what happened in Q2. Non-GAAP SaaS revenue increased 10% year-over-year compared to our 17% increase in SaaS ARR reflecting the growth on normalized ratable basis. The new SaaS ACV booking level in Q2 this year was similar to the level we achieved in Q2 last year, However, the mix of SaaS bookings was weighted more towards bundled SaaS. To address the fact that our SaaS bookings mix can vary quarter-to-quarter, going forward, we intend to disclose SaaS ARR on a quarterly basis. Let's take a closer look at the bookings dynamics in Q2 and how it impacted our Q2 SaaS revenue. As Dan mentioned, during H1, we experienced elongated sales cycles due to the macroeconomic environment. For Q1, we previously discussed our expectations to book 27 million ACV of which 16 million closed and 11 million shifted out of Q1. These 11 million ACV worth of deals were subsequently booked in Q2. Similarly, we were expecting around 34 million ACV in Q2, of which we booked 26.5 million and over 8 million shifted out of Q2. It's important to note that the slip deals similar to Q1 were not lost and the majority of which is expected to be booked in Q3. In addition to the shift to the right, I'd also like to highlight our mix of the bookings. Of 8 million ACV we didn't book in the quarter, approximately 50% or 3.5 million were for unbundled SaaS deals. Since revenue from the unbundled SaaS deals are recognized upfront with a standard term of three years, the revenue impact from the 3.5 million deal shortfall was $11 million of revenue in Q2. As a result, the unbundled SaaS deals were the primary reason for our Q2 SaaS revenue and total revenue coming in below the prior expectations we discussed of a slight sequential increase from Q1's level. Turning to fiscal '24 guidance. We expect the shift to the right we experienced in H1 due to the macroeconomic environment to continue into H2 and believe it's prudent to adjust our outlook for new SaaS ACV bookings for the year. Our original outlook for the year was for approximately 11% new SaaS ACV growth or 112 million, and we now expect around 10 million of our bookings to shift out of the year. Our current outlook for the second half is 60 million of new SaaS ACV bookings taking the full year to 102 million, flat with last year. As a result of the bookings shift, we are adjusting our SaaS revenue outlook for the full year to a range of 18% to 20% growth. Let me give you some additional color on our annual guidance. With respect to revenue, we expect 10 million ACV bookings shift to have a $25 million impact to our revenue this year and are adjusting our revenue outlook to $910 million. While we are adjusting our revenue guidance for the year, we expect greater gross margin and operating margin expansion from accelerated improvements in our SaaS margins. As such, we are maintaining our outlook of $2.65 of diluted EPS for the year. Our diluted EPS guidance, along with our adjusted EBITDA guidance of $250 million represents 5% growth year-over-year for both metrics. We also continue to expect $190 million of non-GAAP cash from operations before onetime items. Regarding below the line assumptions, we expect interest and other expense on average of $750,000 per quarter. Net income from non-controlling interest should be about $200,000 per quarter. Our cash tax rate should be about 10% and we expect around 75 million fully diluted shares outstanding. Let me also discuss how we see the second half of the year progressing. Starting with Q3, for bookings, we expect new SaaS ACV bookings to come in at a level similar to Q2. For revenue, we expect the sequential increase from Q2 to around $215 million, driven by continued SaaS growth. And for gross margins, we expect another gradual sequential increase in Q3. Turning to Q4. For bookings, we expect new SaaS ACV bookings to grow sequentially from Q3, taking H2 to $60 million in total. For revenue, we expect to finish the year very strong with around $267 million, up $52 million sequentially from Q3. While this seems like a significant increase sequentially, most of this increase is coming from unbundled SaaS renewals being concentrated in Q4 this year. In fact, we expect approximately $55 million of renewal revenue in Q4 compared to only $15 million in Q3. And for gross margins, we expect a larger sequential increase in Q4, driven by the significant sequential revenue increase from the concentration of renewals. Next, I will discuss how the trends we are seeing this year should benefit our financial model next year. Let me provide you with some details on these benefits. Starting with revenue growth next year. We see three positive trends. First, we see a high level of interest in our latest AI and bot innovation and we expect customers to consume more from our platform over time due to the strong ROI of our solutions. Second, while sales cycles are elongating, our pipeline is growing and we believe there is pent-up demand. And third, with SaaS ARR growing strongly and perpetual revenue leveling off, the headwinds we have had from declining perpetual revenue will be largely behind us. With respect to cash flow, we expect our cash generation to grow at a double digit rate next year faster than our revenue growth. Behind this expectation is the positive impact to our cash flow from our SaaS ARR growth as well as the fact that some onetime expenditures associated with our post-COVID office realignment will be behind us. Turning to our balance sheet. We continue to be in a very good financial position. Our net debt remains well under 1 times last 12 month EBITDA and is further supported by our strong cash flow. We expect our balance sheet to get even stronger going forward as we benefit from the foundation we laid since the spin, resulting in continued improvement in margins and cash flow. And regarding our $200 million stock buyback program, to date, we have repurchased close to $100 million worth of shares and we are committed to completing our previously announced program. In summary, in Q2, we delivered solid performance across key SaaS metrics, including a 17% increase in SaaS ARR. Despite our strong SaaS momentum, we experienced some deal slippage in H1 and believe it's prudent to adjust our bookings and revenue outlook for the full year. At the same time, we expect more gross and operating margin expansion and are pleased to be in a position to maintain diluted EPS guidance and expect mid single digit growth for diluted EPS and adjusted EBITDA this year. Finally, our ability to deliver innovative CX automation and drive significant customer ROI positions us to increase consumption in our platform and sustain long term growth. And before we take questions, I'd like to mention that we'll be hosting an Investor Day in December to highlight our latest innovations and review our financial model in more detail. With that, operator, please open the line for questions.
Operator: [Operator Instructions] and the first question comes from Ryan MacDonald from Needham & Company.
Ryan MacDonald: I appreciate the thorough walk-through on the updated guidance expectations. Dan, maybe you could start there and just provide a little bit more color on maybe what changed, I guess, so materially, if you will, between first and second quarter and how you're looking into the back half? And I guess, to the extent that in the conversations you're having, do you feel like we're getting to a trough point in terms of the sales cycle elongation, or what's your viewpoint on sort of the time line of how long this persists for?
Dan Bodner: So what we saw in Q1 continued in Q2. So we now assume it will continue also in Q3 and Q4. And that's basically elongated sales cycle. So we mentioned $11 million that got pushed out of Q1 to the right, and we booked them in Q2 and that was good. We were happy to see that it's not elongated multiple quarters, but we closed that shortfall in Q2, but then we had similar to the magnitude of $8 million of deals shifting to the right from Q2. And we mentioned we didn't lose them and we expect to book them later in the year, so there's a shift right. And it's basically when you look at the trends, it's basically just more [scrutiny], more approval cycles by customers. We didn't see any other trend changes. So new logos, we had more than 100 new logos in Q2 as well in Q1 and throughout last year. In terms of the average deal length very similar, about two and half years. We saw the deal sizes, so we had 20 over $1 million TCV deal. So that's for large enterprises. We did see actually the number of total deals increased 30% year-over-year on similar booking in this Q2 versus last Q2. So that suggests that there is more deals but smaller, but that could be part of the macro environment but also part of the new bots that we announced in Q2. And we mentioned that half of the deals in Q2 included one or more bots and we see that customers, as they look at AI, they tend to start small and then increase consumption over time. So that's kind of another change. But clearly, no change to new rates, no change to win ratio, it's really longer sales cycles. And then what we did today is we basically took the same trend into Q3 and Q4. We now assume that $10 million of new SaaS ACV will be pushed into next year. So we talked about $112 million this year and we now adjusted that outlook to $102 million. So not a material change in the shift to right of new SaaS ACV, but as Grant explained, at the same time, we think that a lot of the unbundled SaaS deals are being pushed and also SaaS -- what we saw is unbundled SaaS is becoming bundle SaaS. And because when we apply the 606 accounting, bundle SaaS is ratable, unbundled SaaS is upfront revenue. Obviously, as we see less unbundled SaaS, the revenue impact is more significant. So what was not a big impact on booking is creating a $25 million adjustment to our revenue outlook. But gross margin expanded as we move more to SaaS and SaaS bundle we get better gross margin. So that offset impact of the revenue adjustment and we are maintaining operating margin or EBITDA, $250 million and EPS, $265 million. So that's kind of the impact for this year. Now since you're asking when that's going to be over. So one interesting thing to note is that our pipeline for the next 12 months actually grew 20%. And that suggested while there is elongated sales cycle, there's also pent-up demand and we actually saw that in prior slowdowns by years that we had slowdowns that pipeline has grown. And when things improve in the macro environment there was an uptick also in new bookings. So we hope to see that soon, but the pipeline suggests that there is still good demand for our open platform and bots.
Ryan MacDonald: Maybe just double clicking on the growing pipeline opportunity, Dan. At the Engage conference, you had talked about some of the new product offerings. And obviously, one of the big debuts was Open CCaaS. And I think the strategy around that was to sort of help navigate more sort of at bats or shots at net. Are you seeing the desired effect from Open CCaaS yet, or what's the conversations been like since Engage?
Dan Bodner: I think that customers and partners are really excited about an open platform. I think the industry was looking for a truly open platform that allows them to focus on CX automation, which is our AI driven, elevating customer experience, reducing the labor cost. And this is exactly where open platform is. We have some very good industry coverage, industry research coverage, since then. We are getting really good momentum with partners. We just announced the Microsoft partnership recently. So we were selected by Microsoft to be not only in their marketplace, but also their sales people when they sell, they get commissions, which is obviously the most important element of being in a true partnership and our Microsoft partnership is just one more too many. But I think it's driven by open platform and our ability to work with anyone in the industry to bring value to customers and also fits very seamlessly into the customer existing environment. They can keep their existing telephony, they can keep their existing CRM vendor, and they can move forward with innovation to deploy bots and help to the workforce -- augment the workforce with AI. I think that's all very compelling to customers.
Operator: And our next question comes from Peter Levine from Evercore ISI.
Peter Levine: Maybe if I look at top of the funnel metrics, were you as successful at converting leads or adding leads at a similar level versus expectations or your plans and then second, do you feel like you have enough sales people, did you experience any sales churn? I'm just trying to get a better understanding if the folks that you do have on the front lines, are they achieving their quota? Just a general sense of do you have enough coverage, I think, in this market to kind of hit the numbers that you're putting out here for the second half?
Dan Bodner: Yes. So the leading indicator is obviously the pipeline and then the progression in the pipeline and I think the pipeline is growing but that's good but also we see elongated sales cycle. So everything takes longer and smaller deals where customers can experiment with AI is definitely quick, because they see the ROI quickly and it's not big investments. And because we have a consumption based pricing model, we also make it easier for them to sell and to buy at an initial consumption level and then increase consumption over time. So from a sales force perspective, obviously, they would rather get the big deals, which get them decommissioned. But having 100 new logos, more than half of the deal with bots consumption, that's obviously seeding the market with a lot of initial purchases that will grow over time, because when people are moving to the cloud platform, the open cloud platform, it's much easier for them to increase consumption, they don't have to go through the whole sales forces again. When it comes to the size of the workforce, the sales force, I believe we have the right size. We have people with lots of very deep relationship with customers at go many year back and they know customers personally. They also understand the customer challenges. They understand what customers are trying to solve. So we're not just trying to sell technology, we really bring to our customers' ROI driven solutions. In terms of the sales commissions, we pay commissions based on obviously new bookings, but also renewals and renewals are very important for achieving our goals. And we also pay sales people accelerators for selling more innovation to our customers. So while we just reduced our booking expectations by $10 million for the year, $10 million ACV for the year. But as sales people are more successfully selling cloud and innovation, they can get accelerators. And I hope that we'll see many people coming to our [present] cloud next year as they achieve quarters.
Peter Levine: Maybe as a follow-up to, I think, Ryan's first question was, given that you don't really have visibility into when we'll trough out here. So one is, what are your hiring plans into the second half and then what are your initial hiring plans as you think about fiscal '25?
Dan Bodner: So right now, our guidance assumes flat operating expenses in Q2 and Q4, so similar to Q1. So we have no hiring plans, and we're going to maintain the level of expense that we have now. And I think in this environment, it's positioned us to really focus on getting the sales people we have today to build the pipeline. And as I said before, to push more innovation into our customer base and new logos. And as soon as we see signs that this pent-up demand that we see in our pipeline growth is starting to materialize then we obviously can change their view and resume hiring. But right now, for the remainder of the year, our guidance assumed that things will remain the same.
Operator: [Operator Instructions] And our next question comes from Mason Marin from Jefferies.
Mason Marin: So I wanted to focus on your existing customer base with regards to guidance. Are you seeing existing customers reduce licenses or are you seeing any change in the [churn] based on the macro environment? Any color there would be appreciated.
Dan Bodner: The only change is -- the two changes that we see are [indiscernible] longer as they bring more executive into the approval cycle and there's definitely growing interest in bots, and we launched the bots in June in our Engage Customer Conference. I think some of the analysts and investors, you were there and you saw the really excitement, customers were thrilled with the bots. We have now about 30-plus bots in our platform, we will introduce 15 more this year and we expect to introduce about 30 more next year. So very, very rapid innovation. And that's because DaVinci AI is the core of the platform and it helps us to bring not just Verint AI, but any commercial gene AI to bring it into the platform, train it quickly on data and release new bots that augment the workforce to do different tasks. So that's clearly exciting customers. So on one hand, elongated sales cycle, on the other hand, more interest in bots and growing pipeline. So no, we didn’t change -- no change in renewals, our renewals were strong in Q2. Gross renewals, low to mid-90s and more than 100% NRR. So renewal rates didn't change. We saw big deals. We saw same term length, close to two and half years. So no different in behavior, no really difference in behavior other than the elongated sales cycle and the bot interest.
Mason Marin: And then on the deals that have been pushed out, are you seeing any clustering in a particular vertical or industry perhaps?
Dan Bodner: Not at all. It's very random. Some things that we start two weeks and we already got some Q2 deals in Q3, so some of the deals are pushed just by a little other gets pushed by month. No rules, no industry pattern. It's really company by company and just generally cautious approach to IT spending.
Mason Marin: Last one from me is you've talked a lot about your AI bots. How should we think about that impacting on like a per customer ARPU basis, any rule of thumb regarding like an ARPU uplift that you're seeing from customers that are adopting?
Dan Bodner: So we talked last quarter on a potential 10x uplift that we see in our customer base, and that's based on analyzing our top customers. This clearly -- the spend on labor is very large in customer engagement. We talked about $2 trillion labor spend annually and bots -- bots are really good at doing just one thing, right? Each bot is automating one task and it's very easy for customers to kind of compare the price of their bots to the savings that they create. And obviously, they can deploy a large team of bots and save more than just on one task, but that makes them very easy to deploy from the platform, both are deployed embedded in workflow, so there's no disruption to people while they're doing their normal work, they're getting help from bot. So it's a very, very good way for customers to start to increase automation or what we call CX automation, customer experience, elevation and automation. At the same time, it's very easy. So we think, and that's what we mentioned that we'll see increase in bot consumption in our base. We have new numbers to start small and our goal is that they will increase bot consumption over time. And that creates a whole new TAM that didn't really exist before AI that Verint is leading the way in terms of bringing AI to the fingertips of the agents.
Operator: And I am showing no further questions. I would now like to turn the call back over to Matthew Frankel for closing remarks.
Matthew Frankel: Thanks, [Justin]. And thanks, everyone, for joining us today. Of course, as always, feel free to reach out to me with any follow-up questions you have. And we look forward to speaking to you again soon. Have a good night.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.